Operator: Welcome to Hemnet's Q4 and Full Year 2025 Conference Call. [Operator Instructions] Now I will hand the conference over to the speakers. Please go ahead.
Jonas Gustafsson: Good morning, everyone, and a warm welcome to this 2025 Q4 release call and full year review for Hemnet Group. My name is Jonas Gustafsson and I'm the Group CEO of Hemnet. With me, near my side today at our headquarters in Stockholm, I have our Chief Financial Officer, Anders Ornulf; our Chief Operating Officer, Lisa Farrar; and our Head of Investor Relations, Ludwig Segelmark. Today, we've called for an extended session to cover an update on some important strategic and commercial topics and will, therefore, have a slightly longer presentation than usual. Firstly, we will start with a normal quarterly presentation where we go through the financials from Q4 and the full year of 2025. After that, we will follow up with a deep dive on Hemnet's market position as well as our strategic and commercial focus areas going into the first part of '26. Anders will also quickly break down what this means for our financial reporting going into this new year. As always, there will be opportunities to ask questions at the end of the presentation, and we will combine the Q4 Q&A and the deep dive Q&A into one session. Today's presentation will be moderated by our operator, so please follow the operator's instructions to ask questions through the provided dial-in details. So with that, let's get started, and let's move on to the next slide, please. Despite a very difficult market backdrop, Hemnet demonstrated strong performance and resilience in the fourth quarter. Net sales decreased by 4.4% in Q4 driven by a continued weak market with low published listing volumes. New listings were down with 26.4% in the quarter. Around 5 percentage points of the volume decline during the quarter was attributed to a new business rule introduced in February 2025, impacting the year-on-year comparison. This new business rule is allowing sellers to change agents without buying a new listing. ARPL, average revenue per listing grew by an impressive 29.2% in the fourth quarter driven by a continued increasing demand for Hemnet's value-added services fueled by a continued conversion towards Hemnet premium. EBITDA declined with minus 12.8% to SEK 154 million as the low listing volumes lead to lower net sales and lower fixed cost leverage. For the full year of 2025, the results demonstrated strong resilience with net sales increasing by 9% to SEK 1,526 million and EBITDA increasing by 7% to SEK 768 million, corresponding to an EBITDA margin of 50.3%. This was driven by yet again strong ARPL development of 28% for the full year, and this underscores our ability to maintain strong underlying value creation even in a challenging and unpredictable market. Going into this new year, we have several exciting product launches planned for the first half in 2026. This includes the rollout of Sell First, Pay Later”, which will start on Monday next week in Stockholm. We will talk more about why we're so excited about the new product launch later on in the presentation, but the pilot results have indicated a fantastic opportunity to drive both more and earlier listings to Hemnet. Now let's turn to Page 3 for a quick look at the financial performance. Net sales amounted to SEK 348 million, down by 4.4% compared to the same period last year, driven by the significant decline in listing volumes during the quarter. EBITDA decreased by 12.8% to SEK 154 million. The decrease was driven by the lower listing volumes, which drove lower net sales and reduced fixed cost leverage. The EBITDA margin amounted to 44.2%. As per usual, Anders will break down these profitability dynamics in more detail as we move further on into the presentation. Now let's turn to Page 4 for a look at the property market and the listing volumes. On the left-hand side of this slide, you'll see a combined chart showing published listings per quarter and yearly as well as the year-on-year change between quarters. Published listings decreased by 26% year-on-year in the fourth quarter and by 13% for the full year. The slow market continues by negatively impacted by longer selling times and the average listing duration on Hemnet has increased by 20% year-on-year to 55 days in Q4 compared to 46 days in the same period last year. In addition, a sell first mentality is continuing to impact the value chain and the industry dynamics. The volume decline was partly attributed to the changed business terms in February 2025 for changing agents, which explained approximately 5% of the new listings decline compared to last year. While the overall picture remains bleak, there have been some positive signs of renewed activity during 2025 with rising prices, record villa sales and a supply that started to decrease towards the latter part of this year. With that said, the inflow of new homes remains constrained going into the new year as the market positions itself for a stronger expected market from the second quarter and onwards. Let's move on to the next slide to look a bit closer on the strong ARPL development. ARPL, average revenue per listing grew by 29% in the fourth quarter. The ARPL growth was again mostly driven by a strong demand for value-added services. The conversion rate to higher-tier packages continued to increase during the quarter and is at all-time high levels. Hemnet Premium which was launched in late 2019 is the main driver of our ARPL growth in the fourth quarter. When looking back on its history, it's important to keep in mind, and it's important to remember the Hemnet Premium was initially met with some skepticism from both agents and buyers, and it took more than 2.5 years after the launch before Hemnet Premium was able to reach double-digit conversion. With that in mind, Hemnet Max is well positioned to capture the next level of demand for customers seeking to maximize their chances of a successful sale and become a key growth drivers for many years to come. The initial results and the product performance of Hemnet Max has been stellar. Before moving into the financial section, let's have a look at what has happened during 2025 from an overall Hemnet and from a product perspective. While 2025 was characterized by resilience, it was above all a year in which we geared up for the future. Through an increased pace where AI tools have notably helped us to become more efficient, we entered the new year with a significantly strengthened product portfolio and an organization ready to drive the market forward. In 2025, we made significant progress in developing our consumer-facing proposition and we've taken actions to strengthen our relationship with the industry, and we're well prepared for our large strategic product initiatives being brought to the market in early 2026. With these elements in place, we do look forward to 2026 with great pride and confidence, ready to deliver more value to our users, to our customers and to the real estate agents than ever before. And with that, I will hand over to Anders for the financial update, starting with Page 7. Anders, please take it away.
Anders Ornulf: Thank you, Jonas. Let's turn to Page 8 and the financial summary. As Jonas alluded to, we ended the year in a property market that remains challenging, characterized by continued hesitation to list new properties. This resulted in a decline in published listing of 26% for the quarter. However, despite the significant headwind in volumes, our financial model demonstrated resilience. Net sales for the quarter amounted to SEK 348 million, a decrease of only 4.4%. Another noteworthy point is the average listing time, which on a rolling 12-month basis increased from 46 days in '24 to 52 days in Q2 2025 and now 55 days in Q4 2025. The year-on-year effect of the longer listing time is a positive SEK 12 million in revenue for the quarter, and the sequential effect of the 3 additional days from Q3 to Q4 is negative minus SEK 2 million. To smooth out system variation, we recommend tracking ARPL growth on a rolling 12-month basis, as shown on Page 4 of the presentation. The bridge between the volume drop and the revenue performance is once again the ARPL. You can see that it grew by 29% to SEK 10,900, historic high for a single quarter and was driven by continued strong demand for our value-added services, specifically Hemnet Premium. Looking at profitability on the top right, EBITDA for the quarter came in at SEK 154 million. The EBITDA margin was 44.2%, margin contraction compared to last year is primarily a function of lower listing volumes. Since a large portion of our cost base is fixed, lower volumes naturally lead to lower coverage of these fixed costs. I will walk you through the specific cost dynamics in more detail on the following slides. One important component in the margin development is, of course, the compensation to real estate agents. When expressed as a percentage of property seller revenue, this ratio increases year-on-year from 31.5 to 32.3 in Q4 '25 driven by a further improvement in both recommendation rates and actual conversion. Higher commission reflecting a substantially stronger underlying improvement of our Bas products. And as always, the effective commission is a variable component and tends to fluctuate somewhat between quarters, making what's suitable to measure over longer periods. Free cash flow. Free cash flow was SEK 745 million, a 7% increase year-over-year. This robust cash generation underscores both the scalability of our business model and our strong profitability even in a very soft housing market. Our operations continue to convert a high portion of revenues into cash, highlighting the quality of our earnings. We continue to uphold a strong financial position. Net debt leverage ended the quarter at 0.7x. The increase in leverage is primarily an effect of our active capital allocation strategy, combined with the low listing volumes during the period. Notably, during this year, we expanded our share buyback program from SEK 450 million to SEK 600 million following the mandate approved at the AGM 2025. We have continued to return capital to shareholders, while at the same time, maintaining a conservative balance sheet. Importantly, this demonstrates the strength of our position, we're able to execute the capital returns and still retain a very high degree of financial flexibility going forward. Headcount increase of 15 largely reflects the organization has been selectively strengthened, primarily within tech and product as well as new leadership within marketing. However, regarding the total number, it's important to take into account that we had an usually high number of vacant fills at the end of '24, which impacts the year-on-year comparison. With that overview, let's turn to Page 9, the revenues by segment to take a closer look at the Q4 figures. Starting with our largest segment, property sellers revenue amounted to SEK 298 million which again, very modest relative to the drop in listing volumes. Turning to the B2B segment, net sales decreased slightly by 0.8% to SEK 50 million -- SEK 51 million. Within this segment, revenue from real estate agents grew by 3% to SEK 24 million. This growth was driven by strong performance in our Sold by Us product and other value-added services for agents, which effectively offset the impact of fewer published listings. Revenue from property developers decreased by 14%, sector remains under pressure, fewer project starts and the general cautiousness regarding marketing spend from these customers. Finally, revenue from advertisers grew by 4% to SEK 16 million. This is a positive deviation from the trend we've seen in the recent quarters despite the challenging macro environment for display advertising, we managed to grow this line item due to strong sales to banks and other advertisers. Let's go deeper into the profitability dynamics on Slide 10, showing the EBITDA bridge for the fourth quarter. First bar shows the net sales impact, which then, of course, had a negative effect of SEK 16 million. Next, we have compensation to real estate agents, costs decreased by SEK 2.5 million since commission is largely linked to seller revenue, the decrease in seller revenue naturally leads to lower absolute commission payments. Moving to other external expenses. They are flat year-on-year. We have maintained cost discipline with slightly higher costs but licenses were balanced out by lower spend on consultants and marketing compared to the same period last year. Personnel costs increased by SEK 10 million, representing a 17.7% increase in the quarter and is driven mainly by increase in number of FTEs and annual salary inflation. We ended the year again in the headcount with 167 employees. Finally, other costs had a minimal positive impact brings us to Q4 EBITDA of SEK 154 million. Now let's zoom out and look at the full year '25 on Slide 11. While Q4 was impacted by specific volume headwinds, the full year picture demonstrates the robust growth profile of Hemnet over time. For the full year '25, net sales grew by 9.5% to SEK 1.5 billion. This was achieved despite a full year decline in published listing of 13%, driver again is ARPL. Full year ARPL increased by 28% to 8.1 -- SEK 8,200. This consistent ability to grow ARPL faster than volume is, of course, core. EBITDA for the full year increased by 7% to SEK 768 million, corresponding to a margin of 50.3%. The effective commission is a significant component of the P&L, again, and it's increased from 30.4% in full year '24 to 30.7%, driven by the strong conversion to our value-added services and the compensation model launched in July '24. Turning to Slide 12 for the full year revenue breakdown. Property sellers revenue grew by 11% to SEK 1.3 billion. This segment now accounts for 86% of the total revenue in the year. And again, it really underscores the strength of our business model. B2B revenue for the full year was essentially flat, declining 0.7% from lower display sales partly as a result of lower number of published listing in later part of the year. Real estate agents revenue grew by 3%. The highlight here is our Sold by Us product, which grew by more than 2x compared to 2024. This product, as an example, is becoming a big part of the agents marketing mix. But it's also a further proof that we are able to launch new products that create real value for the customers, even if it may take some time before it's fully gained traction. Property Developers revenue was flat year-on-year, which we consider a stable result given the severe headwinds in new construction markets. Advertisers revenue declined by 7% for the full year, reflecting the broader weakness in the digital advertising market and lower traffic resulting from fewer listings. All in all, very encouraging that we are able to maintain revenues in our B2B segment despite the low level of listings, which negatively impact impressions. We have carefully offset -- we have successfully offset this to growth in our Hemnet Premium products, which creates value for the priority customers, real estate agents, property developers and banks. On Slide 13, we see the EBITDA bridge for the full year '25. Starting from SEK 720 million in '24, the primary positive driver was, of course, the net sales growth, which contributed SEK 132 million to EBITDA. Compensation to real estate agents increased by SEK 44 million. The increase is the direct result of the higher revenue from property sellers and the successful launch of the new compensation model, which rewards agents for high recommendation rates of our premium products. Other external expenses labeled C increased by SEK 24 million, reflecting the decision to normalized investment levels in marketing and product development after a more cautious '23, '24. Personnel costs increased by SEK 20 million, driven by mainly the salary inflation in headcount investments I mentioned earlier. All in all, this resulted in an EBITDA growth of SEK 48 million for the year, landing at SEK768 million. Finally, let's turn to Slide 14 to review the cash flow and financial position. On the left, you see our free cash flow on a rolling 12-month basis, generating SEK 745 million of free cash flow over the last year with increase of 7%. I would like to briefly comment on the operating cash flow for the isolated fourth quarter. In addition to the impact on weaker listing volumes, we also saw a more technical effect of negative change in working capital driven by the timing of settlements for our payment service providers. This is a temporary timing effect and does not affect any underlying change in the cash generation. Our strong cash flow allows us to continue returning capital to shareholders. And as you can see in the middle of the chart, we have been very active with the share buybacks. In Q4, we repurchased share for SEK 160 million. Looking at the right-hand chart, our leverage is increasing, but put in perspective very low. Net debt-to-EBITDA ended the year at 0.7 slightly up as I commented earlier, but also remaining well below our financial target of 2. Reflecting our strong financial position and confidence in the future, the Board of Directors has proposed a dividend of SEK 1.90 per share. This represents an increase of 12% compared to last year and corresponds to approximately 1/3 of our earnings per share, in line with our policy. With that, I will hand the call back to Jonas to wrap up the first section.
Jonas Gustafsson: Thank you, Anders. And let's move on to the summary slide on Page #16. To summarize the fourth quarter, the full year of 2025 and the news we announced today. First of all, we saw a continued pressure on new listings published in Q4, negatively impacting both net sales and EBITDA in the quarter. A strong ARPL growth of 28% for the full year offset the negative impact from lower listing volumes, leading to a total net sales growth of 9.5% in 2025. Going forward, we have a clear focus on addressing market friction and being a partner throughout the entire property journey. We have everything in place to start rollout Sell First, Pay Later on Monday next week on the 2nd of February. We look forward to 2026 with our focus set on delivering more value to our customers and the Swedish property market than ever before. With that, let's move on to the second part of today's presentation, a deep dive into Hemnet's business update on Slide 17. In this second part of the presentation, we wanted to take the opportunity to do a deep dive on Hemnet's strategic initiatives going into 2026. Some updated related to our financial reporting as well as some additional color to the market dynamics. So let's move on to the agenda on Slide 18. So for today's agenda on the Hemnet business update, firstly, I will go through and discuss Hemnet's current market position and what the Swedish property market looks like today and how it has changed over the last years. Secondly, our Chief Operating Officer, Lisa Farrar, will provide an update on our key product initiatives and commercial road map. Thirdly, Anders, our Chief Financial Officer, will cover how we structure our financial reporting in 2026. Lastly, I will provide a summary and a wrap up before we move into the Q&A session. With that, let's start by looking at Hemnet's market position on Slide 19. To start it off, Hemnet is the #1 property portal in Sweden. Hemnet continues to have a fantastic market position. Over 95% of property sellers in Sweden know our brand and close to 90% consider Hemnet that the first choice when selling a property. If you look at our weekly active users, we've had an average of 2.7 million weekly users in 2025. Despite the soft Swedish property market during especially the second half of the year when market activity and interest went down, we see that our users to a very large extent, continue to come back to our platform on a weekly basis. This is also shown in the reach that we have. When comparing Hemnet with other websites in Sweden, regardless of industry, Hemnet is the third largest commercial website after the 2 largest Swedish tabloids and newspapers being Aftonbladet and Expressen. Hemnet is a strong brand and engagement are also evident from the share of direct traffic that comes to our website. Between 70% and 75% from our traffic comes directly to us, either by typing Hemnet straight into the browser or going straight to our app. The high share of direct traffic shows that Hemnet is top of mind for users, and we have limited dependency on external traffic sources. Lastly, Hemnet has more than 25 years as the #1 property platform in Sweden. Our platform is deeply integrated into the working ways of the entire real estate industry. With that, let's move on to our role in the ecosystem on the next slide, please. The Swedish property market has a long history of being efficient and attractive and Hemnet has played an instrumental role in creating that ecosystem over the past 25 years. The market has been characterized by short sales cycles, a buy before sell mentality, ease of transacting and strong underlying price development. The attractiveness of the market has further been aided by highly professional of well-respected real estate agents coming from a professional educational background. In addition to these dynamics, the market demand is spurred by high-income ownership, limited buy-to-let segment and the dysfunctional rental market. This has led to a highly attractive market over time. Hemnet platform is at the center and the heart of this market and serves as the natural meeting point where agents, where sellers and where buyers meet. As you can see here on the next slide, Hemnet has been able to build an impressive business based on the strong market position. Hemnet has shown strong revenue and EBITDA growth in the past couple of years. The lion's share of the growth development has come through growing ARPL, average revenue per listing over time. This has been achieved through adding and growing new packages and products to our proposition. In late 2019, when Hemnet launched Hemnet Plus and Hemnet Premium, and these packages have grown in popularity steadily every single year and single quarter since then. In late '25, Hemnet Plus, Hemnet Premium and newly launched Hemnet Max together announced accounted for more than 75% of all listings, more than 3x compared to the end of 2020. The product-driven growth paired with price increases and payment alternatives, have been a key driver of financial success and has fueled investments into the platform, which has helped Hemnet maintain its strong position as the largest property platform in Sweden. If we then move on to the next slide, please. Hemnet is the undisputed #1 property platform in Sweden in terms of traffic and reach. Our traffic has been stable over time with the exception of the outlying years during the pandemic. When most digital platforms saw a significant surge in peak in traffic and activity as people spend more time at home and spend more time on digital platforms. When looking at Hemnet's traffic over time, it is important to understand the relationship between market activity and traffic. When market activity goes up, and more properties are listed for sale, so does activity and engagement on the platform. As seen on the graph on the right-hand side, there is a clear correlation between the number of newly published properties on the platform and the user behavior. In 2025, we saw a slight decrease in the average vehicle users, especially during the second half of the year as the number of new listings on the market decreased. Today, between 40% and 50% of Hemnet session come from the Hemnet app on iOS or Android. Hemnet's platform is mobile first, and the user on the app are typically much more sticky and much more engaged than the average browser user. With that, let's move on to the next slide, please, to elaborate a bit on our overarching ambition going forward. Our ambition is simple. We want to create value across the entire property journey. But what does that mean for us in practice. First of all, we want to have all relevant listings. If a property is for sale in Sweden, you should find that property listing on Hemnet. We know our users and provide them with a superior experience. Searching for a property on Hemnet should be a great user experience that is personalized to your needs and to your preferences. We are the #1 partner for agents, property developers and banks. And as a partner, it is clear that Hemnet generates superior value. We have the most comprehensive and valuable data. We can leverage more than 25 years of data on search behavior to further enhance the consumer experience and customer proposition. We are top of mind and have the largest property audience in Sweden, and we can never take our possession for granted. This is all enabled by the strong relationship that we've built with the real estate agent industry over the past 25 years. So let's move on to the next slide to take a closer look at what happened with the market in the past few years. Looking at the data, it's clear that the Swedish property market has gone through a few difficult years since 2022. The post pandemic era has brought changes to the Swedish property market dynamic. As you can see in these 3 graphs below, multiple trends have changed the industry dynamic. First of all, we've seen selling times increasing by almost 3x since 2022, driving a less efficient and less transparent market. Secondly, we have also seen a shift in buy behavior where 2/3 now sell before they buy a new property compared to the inverse ratio in early '22 and the years before. This has impacted the way of working for agent and has been driving a less efficient market. Thirdly, price development has been very weak since the pandemic years compared to historical levels, both real price development and nominal price development. The price development has led to lock-in effects impacting the overall market, especially in the apartment segment, which is a high-volume segment. This new dynamic has led to a more prominent pre-market that is characterized by lower seller intent, longer sales processes and a changed way of working among real estate agents. Let's continue on this topic on Slide 25. The role of the pre-market has become increasingly important over the last years. Lower seller intent, lower sales -- longer sales cycles and a changed way of working from agent has fueled a larger so-called pre-market. The pre-market is commonly defined as the stage of the market where a property is not outright listed for sale, and this part of the sales cycle has become longer and more pronounced. This has become problematic for buyers, for agents and for sellers as the pre-market is characterized by lower efficiency and a high variation when it comes to actual seller intent. Today, large proportion of the so-called Swedish premarket is actually old content with low seller intent. Approximately 50% of pre-market listings in Sweden today are older than 6 months. From a Hemnet perspective, that means that not all of the pre-market is relevant. But there is an active part of the market that Hemnet historically has not addressed in a satisfactory manner. This is now something that we are clearly and actively looking to change and will address with our strategic initiatives that we will elaborate further on in the presentation today. Next slide, please. Hemnet's value proposition has predominantly in the past, focus on the own sales segment. The core strength of Hemnet's model align very well with traditional for-sale segment. When the goal is to sell the property as quickly as possible at the highest price as possible, Hemnet has a very strong and undisputed customer proposition. With Hemnet, you maximize the number of eyes on the listing, increasing the chances of attracting more potential buyers to open house and maximizing the bidding process, which hopefully will lead to a successful sale at the highest possible price. The core model of Hemnet remains strong, which is important as it addresses the needs of the absolute majority of the market but we also need to ensure that we adapt our value proposition to cater for the current market environment that has changed over the last years. With a larger share of sales cycles taking place on the pre-market, we see that some more properties are being sold before reaching Hemnet. Looking at 2025, transactions on Hemnet decreased by approximately 5% compared to the overall market that was stable year-on-year. We're now addressing this. We're now executing on several strategic actions, including strategic partnership and the launch of Sell First, Pay Later, to ensure that we better serve the full market spectrum and have the strongest possible customer proposition in all different types of markets. Let's quickly look at this on Slide 27. We're now moving into execution on significant strategic actions to address the full market. Our key strategic actions in the first half of 2026 are Sell First, Pay Later, which will be rolled out in Stockholm from Monday and onwards. Thereafter, it will follow with a Western Sweden launch, a rest of Sweden launched in March and April. We will speak more about the findings that we've seen from the pilot and why we're so excited about the launch. Secondly, we are going into a number of different strategic partnerships, and this will also start to be rolled out in February. Already today and what we have announced today with more than 60 strategic partnerships in the early days. Leveraging AI and product innovation will ensure that we consistently update and improve our customer experience. And lastly, an increased sales and marketing focus continuing to build on the increased focus that we implemented during 2025, where we need more agents than we've ever done in the past. We work closely with the industry, and we invest in marketing with relevant returns. With that, I wanted to wrap up this initial session and hand over to Lisa to do a deep dive in all these exciting product initiatives and product launches that we have ahead of us. So with that, over to you, Lisa.
Lisa Farrar: Thank you, Jonas. Let's move over to Slide 29, please. As Jonas has pointed out in his section, we are now launching 2 key strategic initiatives under the umbrella Hemnet hela vägen” or Hemnet all the way. The first initiative is Sell First, Pay Later. This is a new model where sellers pay only if they successfully sell their property. We're also rolling out strategic partnerships our next step in our 25-year collaboration with the Swedish real estate agent industry. As the pre-market place has become increasingly important, Hemnet is now accelerating our role earlier in the housing journey. By lowering the threshold for early publication and strengthening our collaboration with agent industry, we are reducing fragmentation, improving transparency and creating better conditions for sellers, buyers and agents to fully leverage the value of our platform. Today, we will also elaborate on how we work with AI at Hemnet. As the leading and most trusted property platform in Sweden, Hemnet has a fantastic position to leverage AI to further strengthen our position and significantly elevate our user experience. I will spend some time today describing our general approach to AI, but also disclosed a number of exciting customer-facing AI product features that we are rolling out on the platform as we speak. These 3 areas will be accelerated through our existing marketing and sales engine built over the past 2 years. By continuing to target brand investments and fully leveraging our strength in CRM and digital marketing capabilities, we can drive traffic and engagement efficiently ensuring strong execution of our strategic initiatives without adding material cost. Our sales team remains a strategic pillar of our go-to-market execution and a key competitive advantage through our close collaboration with the real estate agent community. In '26, we will continue to strengthen this proximity by meeting more customers and engaging on the full Hemnet value proposition, including the supply side of the Hemnet platform. Now let's dive into some of the different initiatives on the next slide. With Sell First, Pay Later, we are expanding Hemnet's present throughout the sales journey and driving more volume to the platform by significantly lowering the threshold to list your property on Hemnet. As we announced in the Q4 report, we ran a pilot between the first of October and 31st of December last year across 10 real estate agent offices in Sweden. The data and feedback from the pilot has been very supportive and exceeded our expectations. Volumes in the pilot were significantly stronger compared to the nonpilot population with the pilot offices having almost 40% higher year-on-year listing volume change compared to the nonpilot offices. That means that in a soft market, where listings on Hemnet were down by 26%, the pilot offices increased their number of listings on Hemnet year-on-year with 4%. In addition to the very strong volume effects, we also saw a larger willingness from both agents to recommend and from sellers to choose our value-added services and to use the Hemnet pre-market product. Moreover, when asking the participants in the pilots, more than half of the sellers stated that Sell First, Pay Later played a role in their decision to list on Hemnet, showcasing the strong value proposition of the new model for sellers. I want to point out that the business rules of the pilot differed from those that will apply when the actual rollout and therefore, these results should be treated with some caution. But with that said, we're extremely encouraged by the pilot results, and we look forward to rolling it out in Stockholm County next week. Let's move on to some of the feedback that we have received. The feedback that we have received from both sellers and partners have been very positive throughout the pilot. For sellers, the Sell First, Pay Later model helped lower the barrier to list what has been an uncertain market with longer sales cycles and weaker price development. As seen in one of the seller quotes from the surveys sellers said, no reason not to list on Hemnet when the payment becomes success-based. For agents, removing the upfront risk made it easier for them to pitch Hemnet already in the intake meeting ensuring that the listing received maximum reach during the full sales process. And for buyers, more high-quality listings were made available from committed sellers. And with that, let's move on to some of the technicalities of the new model on the next slide. Sell First, Pay Later will be available to all agents who choose to go with Hemnet all the way and publish a listing on Hemnet within 2 days from the time the listing is published on the agency website. That means that all real estate agents in Sweden will get access to the model, and it will be available regardless of what package you recommend. Sell First, Pay Later will be added as an additional alternative to pay now and pay when listing is removed. It will also be priced at a premium to pay when listing is removed. The way the payment to Hemnet works is that once the listing is sold, the agent is liable to mark the listing as sold and the invoice will be sent to the seller. The seller is liable to pay for the Hemnet listing as long as the property is sold during the time the listing is live on Hemnet or within 6 months of deactivating the listing on Hemnet. And the agent commission is paid once the property has been marked as sold. This model will be rolled out in Stockholm County from the second of February, which is Monday next week, followed by Västra Götaland on the second of March and the rest of Sweden on the 30th of March. In connection with the launch, there will be a grace period when agents will be allowed to publish all the listings on Hemnet, similar to what was done in the pilot. Let's move on to the next slide, please. Let's talk about the strategic partnerships that we announced in the Q4 call and that we are rolling out from February. We're incredibly excited to be able to roll out what is the next step in our 25-year win-win partnership with the Swedish real estate agent industry. With this partnership model, we are taking a more holistic approach to how we interact with the entire industry. Historically, Hemnet has focused a lot on engaging with franchise owners as this is where we have the existing commission model that incentivizes agents to make a tailored recommendation of the best product fit for each property seller. Now we are addressing both the HQs and brand owners as well as the actual agents to a much larger degree. The strategic partnerships at HQ and brand owner level are built around our brand concept Hemnet hela vägen or Hemnet all the way. The changed market dynamics of recent years where behavior has shifted towards selling first and buying later has led to more homes being published late on Hemnet. This means that sellers risk missing out on important product values, including upcoming, which is included in all listing packages and which has recently been enhanced to strengthen the value of early exposure on Hemnet. We are continuing to develop Hemnet to maximize the value for sellers, buyers and agents across the full sales journey. Our data shows that earlier listings on Hemnet drives higher interest and create stronger conditions for a successful sale. These strategic partnerships create a clear win-win for both real estate agent brands and Hemnet. Partners integrate Hemnet across the full sales journey, including the premarket phase, driving earlier and increased supply on the platform. In return, partners gain enhanced brand visibility, increased lead generation, access to under the radar listings and monetary compensation linked to successful use of Hemnet's pre-market offering. The desired outcome is this collaboration around the pre-market with shared incentives to use Hemnet as a marketing channel throughout the entire sales journey. Initial market reception, as Jonas mentioned, has been very strong with agreements signed with more than 60 real estate agent brands across Sweden, including major agencies such as Svensk Fastighetsförmedling, Notar, Erik Olsson and Croisette. This represents 1/4 of the market and 5 of the top 15 brands in Sweden. Additional discussions are ongoing, and we expect to onboard further partners in the coming months. Let's move to the next slide, please. As part of the strategic partnerships, we are introducing performance-based compensation to further incentivize agents to use Hemnet across the full sales journey and fully leverage the value of the platform. Compensation is linked to the share of premarket listings published on Hemnet relative to the total number of premarket listings available on the agent's own website. To qualify, an agency must increase its share of premarket listings on Hemnet compared to its baseline level at the time of entering the partnership. Partners have successfully increased their premarket listing share and exceed defined thresholds are eligible for compensation ranging from 1% to 5% of revenues, net of agent commission. The different tiers and thresholds are illustrated on the right-hand side of the slide. This performance-based model is similarly structured to our existing compensation model, creating a clear win-win for agents, sellers and Hemnet, while supporting growth in both top line and EBITDA. Let's move on to Slide 35 to see some examples of what the strategic partnerships look like in practice. As I outlined, the strategic partnerships include a set of new features and added values for agents. These include enhanced branding on listing pages, increased agent exposure in the My Home tab and the ability to surface under the radar listings on Hemnet. Several of these branding features are already live on the platform with additional functionality and partner onboarding planning for the coming months. With that, let's move to the next slide. As the leading and most trusted property platform in Sweden, Hemnet is uniquely positioned to leverage AI to further strengthen our market leadership and materially enhance the user experience. We operate in one country, one vertical and one market-leading platform with fully rights cleared data, resulting in a level of data quality and depth that is unmatched in Sweden. This allows us to move faster, go deeper and deploy AI in ways that is compliant, scalable and sustainable over time. The combination of historical, behavioral, geographic and transactional data is difficult to replicate and provides Hemnet with a durable competitive advantage. We are currently executing along 3 parallel AI tracks. Each designed to embed AI deeply into the core of our product and operations while leveraging our key strengths. Our first focus is to build a strong and reusable AI foundation. We have completed large-scale semantic tagging of more than 1.4 million listings and historical content. This capability underpins multiple AI-driven features across the platform and provides high operational leverage through a shared foundation. We continue to develop AI-enhanced models across the business, including the property valuations, where AI-driven image recognition feeds directly into our automated valuation models. Internally, we're also increasing efficiency through an AI-enabled operating model. This includes AI-assisted product and technology development as well as conversational analytics directly connected to our data warehouse. The result is shorter lead times, higher output and tangible efficiency gains, allowing us to execute our AI strategy at pace while maintaining disciplined cost control. Our second track focuses on delivering a materially improved user experience. We are using AI to personalize discovery, recommendations and insights enabled by our unique behavioral data and deep understanding of listing contents. We are rolling out conversational search on our platform to complement, not replace our existing search experience. This improves intense understanding and makes discovery more relevant and intuitive. We're also deploying AI-generated summaries that help users quickly understand complex information and make more confident decisions. These summaries are tailored to user intent and behavior while also preserving the full access to the underlying data. Our third track focuses on exploring new AI-driven frontiers and products. We are present with selected AI ecosystems and we'll expand our presence where it is strategically beneficial for Hemnet. From a risk perspective, we view AI-driven discovery as a potential shift in distribution rather than a disintermediation. While traffic from large language models currently accounts for less than 0.1% of our total traffic, we want to ensure that Hemnet is present where users are and where they will be in the future. Our approach is to treat large language models as distribution channels, not platforms. We integrate selectively and under strict data governance and control principles. This ensures that traffic, trust and user relationships remain anchored with Hemnet while still allowing us to benefit from innovation across multiple AI ecosystems. Finally, we continue to roll out consumer-facing products built on increased personalization, using our data to meet user needs with high accuracy, create partner value and unlock new revenue streams for Hemnet. Let's move to the next slide to see some product examples. We're shipping several AI-enabled products to meet emerging user needs and to accelerate how people discover and engage with homes on Hemnet. This week, we launched a conversational search beta that bridges human language and housing data. It improves discovery today while shaping how users will search and interact with Hemnet over time. We have also submitted a Hemnet in ChatGPT app for an integrated experience within ChatGPT. As outlined earlier, we view large language models as distribution channels rather than competitors. By integrating early, we ensure Hemnet is present, where users are beginning to experiment with new ways of discovering properties rather than reacting to distribution shifts after they occur. Go-Live is subject to OpenAI's approval. And as with all LLM integrations, this will be done selectively and on the strict data governance and control, ensuring that traffic, trust and user relationships remain anchored with Hemnet. On Monday, we are rolling out a personalized starting page built on AI. It introduces a personalized searches and recommendations, creating clearer and higher relevancy entry points into property discovery. And next week also marks the Go-Live of All Properties. This feature allows users to explore approximately 1.6 million homes directly in the map view, follow multiple properties and engage more broadly with the housing market beyond listings that are currently for sale. So to summarize the product and commercial update today. We are being more ambitious than ever in our product development. We're moving faster, being bolder, catering for a more dynamic market and deploying products that solve real user pain points. By deepening our connection with customers and leveraging AI at scale, we are strengthening the Hemnet experience today while building the foundation for long-term growth. And with that, I'll hand you over to Anders on Slide 38.
Anders Ornulf: Thank you, Lisa. Let's move on to the next slide. So as you know by now, we are rolling out a number of changes to our business this year with the start on Monday next week with the launch of Sell First, Pay Later in Stockholm. These changes come with a few implications for how we structure our financial report in 2026. Revenues from sales with a Sell First, Pay Later option are recognized at a point in time when the invoice is issued i.e., when listed object market sold on Hemnet. The reason for the difference in revenue recognition compared to our existing payment models has to do with factors that need to be met in order for revenue to be recognized under IFRS 15. This means that the launch of SFPL will have a timing impact on reported revenues when launched. How big that timing effect will be is highly dependent on the uptake on SFPL and how that changes over time. In addition to the revenue recognition effect, the rollout of SFPL will also have a short-term cash flow impact, which will impact our working capital. This will be financed through a temporary increase in our existing revolving credit facility. Let's move to the next slide to see an example of what the revenue recognition effect could look like in practice. On this slide, you see an example on how different level of SFPL adoption will impact reported revenues in a highly hypothetical scenario. Please note that this example is based on certain assumptions and should, under no circumstances be seen as guidance from the company. For the sake of simplicity and to be able to understand the timing effect, we have assumed a scenario where 100% of properties on Hemnet is sold within 15 months. In this case, we assume no volume or price upside, which is obviously different from what we will see when we roll this out next week as the price for SFPL will be higher than the current payment options. We believe that it's easy to understand the timing effect in all else being equal scenario, not lending in too many assumptions. In this scenario, a 30% SFPL adoption will negatively impact the amount of recognized revenue in Q1 after launch by minus 11%. Similarly, a 50% SFPL adoption will negatively impact the amount of recognized revenue by 18%. As time goes and more properties are sold, the revenue recognition effect goes away. On average, approximately 50% of Hemnet listings are sold within the first 2 months and 70% are sold within the first 6 months. Very few listings are sold after the first 15 months. Moving on to the next slide, we will look a bit more on how long it takes for properties to be sold on Hemnet. As Jonas pointed out in his section, the steep market downturn in the spring of 2022 had a negative impact on the market as a whole and on how long it takes to sell a property. However, even though sales duration times have increased significantly, there has not been a large movement in how many properties that are eventually getting sold. Historically, between 82% and 92% of listed properties on Hemnet have been sold depending on the state of the market. In a strong market, like we had in '16, '17 or 2021, properties tend to transact very quickly, as you can see in the graph on this page. As stated on the previous slide, in the current market, approximately 50% of the properties are sold in the first 2 months and approximately 70% are sold within the first 6 months. After the first 12 months, roughly 81% are sold and roughly 85% are sold within the first 24 months. After 24 months, 2 years, very few transact. Let's move on to Slide 42. To be able to monitor the performance better going forward, we will update the definition of our ARPL, alternative performance measure, APM. The reason behind this change is to increase transparency and provide a better snapshot of the actual ARPL generated in the quarter. As the sales duration times have increased in the past 3 years, the ARPL metric has become more and more volatile on a quarterly basis. Therefore, we will start in 2026, we will change the ARPL definition from average revenue per published listing to average revenue per paid listing. As you can see in the graphs on the left, this will decrease quarterly volatility in the performance measure, but will have more or less no impact on the LTM numbers. We are confident that this definition change will make it easier for the capital markets to understand our business performance. The 9-quarter historical disclosure as seen in this graph has also been made available over the Q4 release this morning. Let's move to my last slide. We do recognize that the new launches we are doing this year makes it slightly more difficult to track and predict the short-term performance of our business in 2026. Therefore, we want to ensure that we are as transparent as we can when it comes to disclosure. And as a result, we will report preliminary sales figures on a monthly basis in 2026. Please note that our ambition is to only do this during 2026, and then go back to our normal reporting calendar in 2027. This means that starting in early March, Hemnet will report preliminary sales figures for February. The reporting will be issued in the press release 2 times per quarter, but only one time in Q1 as SFPL was not launched in January. Moreover, monthly volumes will continue to be published on the first working day of each month. The monthly volumes will include the breakdown of both paid and published listings from February and onwards. That sums up the changes to our financial reporting. And with that, I will leave it -- over to Jonas to summarize today's session.
Jonas Gustafsson: Thanks, Anders, and thanks, Lisa. So we have now covered an update on our very exciting market position, the very exciting opportunities that lie ahead of us and how excited we are to bring our new initiatives and products to our consumers over the coming months. Looking more long term, we do see multiple growth levers for Hemnet. To elaborate a bit further on this, let's move on to Slide 45. We're very confident and eager to deliver strategic actions, but we're equally excited about the growth prospects that lay ahead. Hemnet has a unique market position and a great step of growth levers to pull to continue our success growth journey. We will start looking at value-added services. Value-added services have been the main driver of our ARPL expansion over the last years, and we see room for additional growth in this area. Please keep in mind that Hemnet Plus and Hemnet Premium were introduced back in 2019, and continued expansion of these packages has been the main driver of the 28% year-on-year ARPL expansion that we saw in 2025. 6 years after the launch. We need to enhance our customer proposition and the features that are included in our existing packages to optimize the packages and the overall package composition. During 2025, we launched Hemnet Max that will allow us to continue to grow ARPL over the years to come. Max penetration is still at low levels, but the product performance has been stellar. We see that Hemnet Max gets more engagement, more visitors and has a positive effect on the bidding price to justify a premium price level. Pricing. Pricing represents an important component for our value creation toolbox. We will continue to invest into our proposition to increase exposure on the platform and the value we deliver to sellers, to our agents and to our buyers. Our data shows that the estimated value of 1 additional bid in an auction process is worth around SEK 80,000. And even in a small increase in the number of interested buyers can have a significant impact on the financial outcome for a seller. That is a healthy investment if you compare the SEK 80,000 upside compared to our ARPL. In addition, with our dynamic pricing model, we see significant opportunities to add more granularity and work with data-driven pricing to better reflect market demand. Payments. Payments is the third lever to continue to drive ARPL expansion. With the launch of Sell First, Pay Later, we're taking the next natural step in our customer journey to improve the value proposition for sellers, buyers and agents. By lowering the threshold to list on Hemnet and tying the payment to a successful transaction, we make it easier for sellers to list on Hemnet and increase their chances for a successful sale. Going forward, we will continue to work closely with our real estate agent partners to further enhance our different payment options to ensure that we have a smooth and flexible payment options that are well aligned with traditional payment flows of a property transaction. And there is more to come in this area. Our B2B offering today has been strengthened over the last years despite being highly exposed towards cyclical underlying markets like new property development and more traditional display ads. We've taken significant steps ahead and are now launching a new package tracker towards property developers as well as our bank customers. Going forward, this area offers significant opportunities ahead. Hemnet is a powerhouse in terms of traffic and engagement. At the same time, we are very close to the actual property transaction, meaning while we have high-quality data. If we combine high-quality data with a high quantity of traffic that we do have, you have a currency. That data and that currency is currently undermonetized, and we will capitalize more on this going forward. 2025 was a tough year for the overall market, but we do see positive underlying fundamentals moving into 2026. If we please move to the next slide, please. There are several metrics that point towards an improved 2026 underlying market trajectory with increased levels of supply. Projecting the market development depends on numerous factor and easily turns into active crystal ball gazing. However, there are a number of key indicators that are pointing in the right direction. First of all, ease of credit restrictions will be implemented by 1st of April. Historically, we've seen that these rules and regulations have had a large impact on market activity and Hemnet's listings volumes. We expect that the easing proposed for 1st of April will stimulate mobility and have a positive effect on both prices and activity. Secondly, improved market conditions. Looking at the overall market situation, there are also positive signs in terms of macroeconomics. We see healthy interest rate levels in Sweden paired with an expected uptick in GDP growth. We also expect to see higher disposable incomes on the back of proposed tax release and an expansive budget. Rising price expectations. Signs of optimists are already returning among prospective buyers. 43% of those planning to buy a home believe in rising prices over the coming 6 months according to our Hemnet buyers barometer for January. That represents an increase by 10 percentage points compared to the December levels. We also see that several banks and financial institutes are predicting a stronger property market on the back of the strong price development. After a tough 2025, we look forward to 2026 with confidence and look forward to a year that has [ in store ] for sellers, buyers and agents on the Swedish property market. So let's now move on to the next slide for a brief summary of today's session. To summarize today's session. First of all, Hemnet is the #1 property portal in Sweden with a large and stable audience, reaching almost 3 million active users on a weekly basis. We're highly integrated to the ecosystem with plus 25 years of experience and have a unique set of data. Secondly, Sweden's property market dynamics have changed post-pandemic, which has favored the pre-market. This has been visible through longer sales cycles, Sell Before You Buy dynamics, and a very weak price development. Thirdly, building on our strong core business, we are now implementing significant strategic initiatives to cater for the changed market conditions. Sell First, Pay Later, the pilot has shown very strong results, both in terms of getting earlier listings to Hemnet and more listings on Hemnet, as Lisa elaborated on, given the 40% difference. I'm now very excited to start launching this in Stockholm next week. We've launched strategic partnerships, and we are in the early days but we've seen a strong initial response with more than 60 brands joining in the initial phase, including some of the biggest agent brands in the country. Last but not least, Hemnet has an unmatched position to leverage AI and significantly elevate our user experience. AI has changed the way we operate our business internally and created significant efficiency gains across our organization. We're now moving faster. We are acting more broadly, and we're happy to be able to announce a number of product news, including conversational search, an AI-enabled personalized starting page all properties and the Hemnet ChatGPT app for approval. Finally, before we open up for the Q&A, we wanted to take today's opportunity to invite you all to the Capital Market Day ahead of the summer. If we kindly could move over to Slide 48, please. We're happy to announce that we will arrange a Capital Markets Day in June this year. The exact date is yet to be confirmed and we will be able to share more details within a short period of time. The event will feature a presentation from Hemnet's management team on a number of various topics, including Hemnet's business strategy, our financials, our product and commercial road map but also our AI strategy. So with that, we very much look forward to seeing you all in Stockholm in June. So that was it. Let's now open up for the Q&A.
Operator: [Operator Instructions] The next question comes from Thomas Nilsson from Nordea.
Thomas Nilsson: I'd like to ask how you intend to price the pay only upon sale offer for Sell First, Pay Later? And exactly how was it priced in the trials you ran with 10 real estate agent firms? And second, what are your expectations in terms of volume in 2 years' time. How large a share of your total volume do you think will be connected with the Sell First, Pay Later payment option?
Jonas Gustafsson: So 3 different topics. So on the first one, as we mentioned as part of the presentation, what we communicate now is that the Sell First, Pay Later will be priced at the premium compared to the payment alternative of Pay Later if removed. We are rolling this out on Monday, and we will have various price points. And please keep in mind that if you look at the overall price dynamic of Hemnet, we have more than 70,000 price points per day, but you'll see it on Monday. When it comes to the actual pilot, we elaborated on different price points. And obviously, the outcome of that trial and elaboration both from a qualitative perspective, but also from a quantitative perspective led to the price point that we're now launching. The last question in terms of volume, it's too early to tell. We are excited about the results that we've seen from the pilot, but we don't know exactly in 6 months' time, 12 months' time or in 24 months' time.
Operator: The next question comes from Georg Attling from Pareto Securities.
Georg Attling: So just the first one on the transactions. You said down 5% on Hemnet versus, say, a flat market. So just wondering if you have any more color on this where you're missing out? Is it ads that only reached the premarket? Is it under the radar listings or even those that actually come all the way to for sale?
Jonas Gustafsson: The simple answer is that the exact details we don't know. What we've seen is that number of transactions or number of properties that have been marked as sold and taken down from Hemnet was down with 5% compared to the year before. As you know, Georg, we have -- we've had a strategy in the past where we use 1 source of data to provide our market share, and that comes from the SCB, the Swedish Statistical Bureau. And also for 2025, this will be published in mid-2026. Please keep in mind and also, I mean, if you look at our historical market share development, it's been fluctuating between 90% and 86%, depending on what market we're in.
Georg Attling: Yes. That's clear. Second question, you say that 25% of the markets have signed up for these commercial partnerships, 60 agent brands. I mean, to me, that sounds like quite a low number. I understand this is a ramp up, but are there any agent brands that have said no? And what's the pushback in those cases?
Jonas Gustafsson: I think -- and I would disagree with you. I'm quite happy with the results that we are already now at a sort of adoption rate of a 1/4 of the total market. And I think, please keep in mind that this is a completely new way of working for Hemnet, but it's also a completely new way of working for the agents. And it takes time to change a way of working. And there is many positive ongoing dialogues, and we haven't received a single no but there's ongoing discussions. And I think many people are waiting to see sort of what this means and how many other that go. But I would disagree with you, Georg, to say that it's quite low, given the fact that we're now sort of in end of January, and we announced this just a few months back, it takes time. And as you could imagine, signing 60 deals takes also quite some time. So it's a quite sort of operational work included into this as well.
Georg Attling: Understood. And I'm just thinking of how you view the net effect of this fee sold. I mean you say that 8% to 18% of listings are sold within 2 years. And this is -- I mean, you mentioned the other day that this will be priced at a 7% premium to pay later. So it sounds like this will have a net negative effect on sales. Is that correctly understood?
Jonas Gustafsson: I think when it comes to -- I can start and then Anders can jump in. When it comes to the Sell First, Pay Later business case, it's pretty simple and straightforward, I would argue. It's 3 components. I mean the first one is, will we get more volumes? Will we get more listings and implicitly more revenue? Our hypothesis is that we will get that. Secondly, per your point, and as you referred to, there are a share of the listings that will not get sold. So that's a downside compared to where we are today. Thirdly, we have a price component, per your point, and that will have an upside to this. We do like positive business cases at Hemnet. And I think -- I mean, if the first 2 parameters, how large share of volumes we will get an increase of and how large share is on. So those are unclear, but price is something that we can steer on a direct basis. And we always have that tool to play with to ensure this is an attractive and positive business case.
Anders Ornulf: I can just add that the price point you referred to is versus the Pay Later option. And we are quite certain we know that we will have customers, property sellers coming from the Pay Now option as well. So you can -- you cannot use that 7% and take that into a model. Also commenting on price, we're launching on Monday. And as Jonas said, it's not a fixed price forever. We will launch in Monday, we will monitor in Stockholm, and we will learn from that. And we will follow conversion uptake and outcomes in real time. So if adjustments are needed, we will make them. And you had a comment on the volumes Jonas, but also there was an upgrade in the conversion. We will see what happens with that as well. It was a positive sign from the pilot, as Lisa stated. So yes, we're in a good shape.
Georg Attling: Yes. That's clear. Just final question for me. I mean, when you think of the phasing of this year's price increases, will that look sort of similar to the last few years? We see what you did here in January, of course. But how should we think of price adjustments for the remainder of the year?
Anders Ornulf: It's hard to say. Look, over the last year, because it has been very different '22, '23, '24, '25. So you should not take anything into account. We didn't -- we did look at the prices 1st of January and did some adjustment there. We look at it all the time. Now our focus is very much on SFPL but like-for-like pricing is always up for debate and discussion. But yes, that's what the focus is at the time being at least. And then we'll see how the year evolves.
Jonas Gustafsson: And I think just to add one final thing there, Georg. I think also what we spoke about when we look at future ARPL growth from a more long-term perspective at Hemnet, payments was one of the options or levers that we mentioned as part of that toolbox. And I mean the most concrete example that we're launching today is obviously Sell First, Pay Later. We do see this as a long-term ARPL growth driver as well.
Operator: The next question comes from Eirik Rafdal from DNB Carnegie. The next question comes from Will Packer from BNPP.
William Packer: Three, if I may. So firstly, thanks for sharing the update on the progress of the testing. And it sounds pretty encouraging with a kind of healthy rebound in listings. Could you just help me think through where that rebound comes from? I suppose you framed that you haven't really been losing market share to the likes of Booli. So is the right way to think that, that is a phasing of listings that would have come to you eventually, or is there kind of more substantive underlying market share gain, which you're getting back from your peers from the pre inventory? Secondly, could you help us think through the cost outlook for 2026? In the context of the presentation, I think it's very fair to say the revenue visibility is low and perhaps the commission visibility is low in terms of personnel costs, in terms of marketing spend? Is there anything you could share for the year ahead and help us think through the scenarios in which margin expands or contracts, depending on the revenue growth? And then finally, there's been some noise around regulator. So my understanding from the trade press is that you complained regarding the SBAB's involvement with Booli, and how that was distorting the market? What's been the response there? On the other hand, there's been some press speculation that you've had to separate out your partnership from your prelisting product. Is that fair? Or is that accurate? Any visibility on the sort of the regulatory response to those items would be helpful.
Jonas Gustafsson: So I think we'll be a bit back and forth between me and Anders on the various topics. So firstly, if we go to the uptake on the pilot, and I think, I mean, it's a mix. What we allowed as part of the pilot and what we also will allow when go live now next week in Stockholm is that we allowed the agents to also take old listings that they have in their premarket inventory. And so that is obviously a sort of a catch-up effect. And I mean eventually, they would most likely have ended up at Hemnet, but it's a phasing effect because we get the listings earlier at Hemnet, which is also -- I mean at the end of the day, that's the strategic ambition that we do have with this product launch, get more listings and get earlier listings on Hemnet. So there is definitely a catch-up effect. Whether that's sort of -- it's difficult to say whether there are listings that would not have ended up at Hemnet. But part of the -- sort of the qualitative assessment, the analysis of the pilot indicates that the threshold is definitely lower to use Hemnet, and that's really what we wanted to achieve. Secondly, there was a question around the cost outlook. So if you could take that, Anders.
Anders Ornulf: I can. Regarding the cost development in Q4, yes, thanks for your questions, Will. Fixed OpEx, excluding admin and commission were up 11%, driven by the cost increases I went through in the call earlier. Very much related to personnel, but also marketing and sales. We don't do guidance. You know that, and you comment on that yourself. And looking ahead to 2026, that strategy remains. And we will continue to invest. We believe it makes a significant difference for the long-term position, particularly coming back to sales and marketing efforts and the examples supporting the rollout of SFPL and the new strategic partnerships. I also want to say that one of the reasons we don't guide on cost is we believe that agility is core, but we have to make sure that we have to be prepared and whatever happens with the market or whatnot. So without giving a guidance full year, in '25, we grew by 14%. The year before, we grew by 30%. So as a CFO, I like 2025 more. But as always, with OpEx, we monitor, and we'll see what happens. When it comes to effective commissions, I think you've heard me say this many times before, I hope it increases because then again, we hope to see more recommendation and conversion to especially Max, but it would also be offset 1st of January because of the -- that the admin fee is fixed, right? So we saw that in '25, and we will see that in 2026 as well. That was a bit of color on the OpEx and outlook.
Jonas Gustafsson: And if we go to the third question, Will, so we can confirm that we, as Hemnet has turned to the Swedish Competition Authority regarding SBAB and its subsidiary Booli. This concerns a fundamentally important issue of assuring that the state-owned companies comply with their specific competition rules designed to protect the market from competition being restricted by public actors. We note that Booli is a loss-making business that has built its position through extensive state support via SBAB and it's our assessment that these operations are conducted in violation of the specific rules governing anticompetitive activities by state actors. And we've now referred this matter to the Swedish Competition Authority for investigation, and it's up to them to investigate this further, and we will not sort of comment that more in detail. Then there was another topic on your question, William, that I'm -- maybe I misunderstood it, but was that the question? If not, please elaborate a bit further.
William Packer: Just maybe just sort of moving on to one other topic I wanted to cover, I think you've covered the rest of the stuff. On Slide 34, you talked about monetary incentives of successful partnerships. Is the right way to think about that if the partnerships really scale that becomes kind of a new cost outflow associated with incentivizing agents to help Hemnet product, which is an additional to the commission, or I misunderstood?
Anders Ornulf: No, you haven't misunderstood. It refers to the partnership program. It's a performance-based model where -- when a partner, signed up partner, agrees to commit to Hemnet, if they increase the share of premarket listing on Hemnet above an agreed baseline, we reward them with the share of net revenue. The revenue is, of course, based on the revenue after the ordinary compensation, admin and commission to agent offices. It only pays out for meaningful growth, and it's -- even then the payout is capped at 5%, as you can see on the slide you referred to. It will be included as a separate cost item in interim reports going on, and it will be rolled out gradually as part of the launch, so we will see how it evolves.
Jonas Gustafsson: I think just to add there, Anders, I think it's definitely something that will drive revenue and it will drive EBITDA, right? So it is a self-financing approach.
Anders Ornulf: Absolutely very similar. The structure, at least, is similar to the one we have already with the real estate agent offices.
Operator: The next question comes from Eirik Rafdal from DNB Carnegie.
Eirik Rafdal: Yes. I got a couple. We can do them one by one. On the trial, you say 9 out of 10 SFPL sellers choose Bas. Could you share some light on the relative share of Plus, Premium and Max within those 90%, and also how that compares to the Bas in kind of similar regions? I know you said 75% of total, Jonas, but just good to know if that 90% and 75% number is comparable.
Jonas Gustafsson: Eirik, good to talk to you. So when it comes to the trial and when it comes to the Bas penetration, you're right, we've seen roughly 9 out of 10 of the packages having a Bas component. And I think -- I mean if you look at, just a step back, I think this has been done in 10 different offices across Sweden. So I think there's not a specific geography that is overrepresented. So that's part of it. What we've seen is that no major differences in terms of sort of variation of the various packages compared to that sort of the underlying or the nonpilot offices. So it is no material differences in that area.
Eirik Rafdal: That's very clear. And also kind of on the same slide, you say 6 percentage points higher upcoming listing market share on Hemnet versus the pilot start. Would you be able to share the market share at the start and finish?
Jonas Gustafsson: No, we wouldn't be able to do that. But sort of -- we saw a material movement of 6 percentage point market share increase during 3 months and something that we're very happy with.
Eirik Rafdal: Perfect. That's very clear. I just wanted to follow up on some of the questions around the relative pricing of SFPL and our understanding based on channel checks, is that around 7% to 8% higher price than Pay Later? And I think you mentioned that as well, Anders, which in turn is 7% to 8% higher than Pay Now, which means that the ultimate difference between Pay Now and Sell First, Pay Later is 15%. Can you confirm this number? And also just on your being on relative pricing, in my opinion, at least, it seems like it's fairly small price to pay to significantly reduce your risk as a seller. Just your thoughts there would be good.
Jonas Gustafsson: I think when it comes to -- I mean, it was pretty clear before that we didn't mention the exact price point. But I think what you're sort of getting to the 15% is ballpark right, and then we will have variations, given the fact that we have a quite complex and dynamic pricing model given the fact that we already today have more than 70,000 different price points. So that's one thing. I think please keep in mind that when we're now rolling this out, there's -- we don't know what penetration and uptake it will have. From a strategic perspective, it is important that this should drive more listings and earlier listings to Hemnet. So we want to ensure that we get more volumes on this. But in terms of price, we can steer price. Price is something that we can move every single day, I was about to say, but sort of in real time. And we can change it, and we will make sure this becomes attractive. But we're very eager to also get a broad uptake on this, given the fact that I think this will also have a very positive effect in terms of how satisfied the agents are and also very positive for the seller NPS of Hemnet.
Anders Ornulf: And I can also, as a reminder, the price effect will also be very much dependent on the uptake from Pay Now and Pay Later listing is removed, right? So it's not really that easy to just say, 15% or 8%. Definitely correct, so....
Eirik Rafdal: Very fair point. And just one final one, if I may. I know it's been a bit of an investor concern around how you handle content quality for maybe particularly the coming for sale ads, like how would you deal with ads, for instance, like photos or asking price? How will you kind of structure the UX for the buyers? Just any thoughts there would be good.
Jonas Gustafsson: I mean I think at the end of the day, we want to have more listings, and we want to have more listings earlier. I think, I mean, Hemnet is today a quality property portal, and we will make sure it remains a quality property portal. Please keep in mind that, I mean, Sweden compared to many of our international -- sort of other geographies outside Sweden, Sweden has a highly functional property market. We have a highly professional, highly educated agents. It is -- if a listing is going to go on Hemnet, it always needs to go through an agent. And I have full trust in the agents' community that they will ensure that we sort of remain the high quality at Hemnet. Sweden is very different compared to other markets. And at the end of the day, I mean, what matters for an agent is to sell the property. That's where they make their money. The quicker they could sell a property, the more property they could sell, the more happy they would be. And using Hemnet and using the Sell First, Pay Later will be a perfect way to get there.
Operator: The next question comes from Ed Young from MS.
Edward Young: Two questions from me, please. First of all, on Max. Could you talk a little bit about what the plans are there? You said that it's sort of the next leg of driving package improvement, but you've not really touched on what that might include today. And as part of that, could you perhaps comment on whether you expect Sell First, Pay Later initiative to influence the adoption of Max relative to other listing tiers significantly? And then second one, on the pre-listings, you spoke about areas you're actively looking to address. Is that just essentially fresh pre-listings or are there certain segments like the higher volume apartment area that you were talking about sort of segments you're trying to attack. So any color on what it is you're looking for from pre-listings or alternatively what you're not? Maybe, as you said, you've got a big jump on these targets, 30%, 40%, 50%. So I'd be interested to know what you're really trying to focus agents attention on?
Jonas Gustafsson: Yes. So in terms of Max, I think digging one step back, Max was launched back in April 2025. So it's been around now for more than -- slightly more than half a year. We've seen quite slow adoption. I think a large part of that has been driven by a very slow and challenging market. I think -- I mean, if we would have launched Hemnet Max during like a peak market like 2020 or 2021, you would have seen a different development. But also keep in mind what we refer to as part of the presentation that Hemnet Plus and Hemnet Premium also had a very slow uptick in the initial phase. In terms of Max, and we're continuously working on -- I would say it's two-folded. I mean, first of all, the product performance that we do see with Hemnet Max, the engagement, the number of listings or number of views per listing and also the speed that we can sell a property when you use Hemnet Max, those results are great. So it's a lot about spreading that goals also in the agent community and ensuring that seller understands that this is, if you pay for a Hemnet Max, it's a product that you get benefits from. We need to be better and we need to communicate that in a clear way. Second to that, I would say that Hemnet Max is still, if it's -- even though it's been around the block for 6 months, it's still a baby. We are continuing to develop the various product features and kicking in an open door, we're running a marketplace here with a tiered product structure. It's all about relative differences both in terms of relative price differences but also in terms of relative feature differences. So the team are testing various things now to see sort of what could catalyst further penetration when it comes to Max. Then in terms of the pilot. It's clear that what we saw is that we said that in Q3, we had roughly 75% of all our packages having a Bas component. And then we said that the pilot had a -- sorry, the Sell First, Pay Later pilot had a Bas conversion of 90%. So there's obviously an impact across the broad regardless if you talk about Hemnet Plus, Hemnet Premium and Hemnet Max. But it's a bit too early to tell. I mean the Sell First, Pay Later pilot was a sample, and we're looking forward to continue to follow this. In terms of the premarket, it's -- I mean, at the end of the day, the ultimate goal, which is embedded into our strategic ambition, is to get the properties that sell in Sweden that they should be on Hemnet. That obviously means that the sort of the higher the seller intent is the more attractive it is from our perspective. So we want to focus on ensuring that we get the premarket listings where there's an intent to sell. That's our primary goal with this. But we also want to have the broad volume.
Operator: The next question comes from Marcus Diebel from JPM.
Marcus Diebel: Just 1 more question on the pricing of Sell First, Pay Later, again. Obviously, you talked about it in detail, you said clearly you can't give any more sort of data on pricing, we're going to see this very soon. But more conceptually, what has driven the decision to really price this as a premium? Is it not now the time to really get the listing sped relatively quickly, have a very strong sort of like current developments, why do you feel that this should, at this point, still deserve a premium? Second question will be on your comment on rolling out an app within ChatGPT. If you can just comment a bit more what has driven this? Why do you feel this is the right move to do. And also if you could talk about the terms here? Is it just a partnership? Or how free, or so free or how should we think about it?
Jonas Gustafsson: Marcus. So in terms of the price point for Sell First, Pay Later, I think that we've elaborated on the more sort of financial aspects of it more from a strategic level. I think that -- I mean, it's so clear to us that this comes with a fantastic customer value. The results from the pilot, both from a quality but also from a quantity perspective comes out very, very clear. This is something that the consumers are willing to pay for. This is a threshold reduction parameter, and it is a component that sort of reduces the barriers to use Hemnet to a large extent. And we've done a comprehensive pricing work looking at all those various parameters. And I think it's very clear to me that given the pilot test that we ran, that this is a fantastic customer value and a fantastic proposition towards the consumer. Then if I sort of -- if we move over to the ChatGPT question, we have Lisa here who's the expert. So I'll hand over to Lisa to elaborate a bit on that.
Lisa Farrar: Thanks, Jonas. Marcus, I would describe our app within the ChatGPT app as a move to learn, both for us but also for our users. We want to be where our buyers and sellers are going to be both now but also in the future. So this is an early stage way for us to integrate with new technology, a new ecosystem, and learn from that. In this app, you will still be circled back to Hemnet, so we're not losing our users. We're just seeing it as a distribution channel. And I would say this is the first move to learn and go from there.
Marcus Diebel: Yes. Anything if you can just comment a bit more about the sort of like terms. I mean -- do you feel that this will be exclusive? Do you see others will follow and also sort of like how the dialogue with OpenAI has been, if you can share anything more would be very helpful.
Jonas Gustafsson: I mean, I think it's difficult for us to comment any on our competitors if they would follow. I think we stand very strong in our foundation with more than 25 years of experience and more than 1.4 million homes of user tagging, which makes us feel that we have a benefit in also the AI world. In terms of the exact sort of details in the discussions with OpenAI, there's -- I mean, we don't want to comment on discussions in terms of details with our partners at this stage.
Operator: The next question comes from Nikola Kalanoski from ABG Sundal Collier.
Nikola Kalanoski: So firstly, on the SFPL model. When these pilot offices tested the new model, they were, in essence, I guess, you could say, given a super power compared to some of the other offices in terms of being better able to win listings, if you will. As an agency, you're a little bit more attractive, of course, if you can offer this. Has this discrepancy, do you recon, helped drive new strategic partnership signings with more agencies and offices being eager to take part? And do you expect that this will drive additional signings going forward?
Jonas Gustafsson: Nikola, I mean, so just to clarify the background and the circumstances. I mean, this SFPL product will be available to all agents regardless if you have a strategic partnership or not. So this goes out to the full market, right? This is not part of the strategic partnership just to make that clear. However, if you look at -- you referred to it as a super power and just looking at the results, I think that, that's a fair analogy. I think -- I mean, obviously, they had a benefit being part of the pilot during this 3-month period of time. And we know for a fact that day 1 number of sort of competitive discussions with their competitors just because of the fact that they have this tool or the super power, as you referred to it, I think that given the fact that we will open up for the full market, you will still have a super power towards the consumers if you're actively using Sell First, Pay Later. So I think this is something that will drive and accelerate the development of Sell First, Pay Later.
Nikola Kalanoski: Yes. That's very good. And I guess this is just technicality then, but I think in your slides you referred to a disclaimer that says that the business rules of SFPL differed for -- from that of the pilot versus the actual role. Are there any big differences here that we should take into consideration qualitatively?
Jonas Gustafsson: I think when it comes to -- I mean, we elaborated -- I mean there was a question before, I think -- we had a question before around how we price the SFPL. I mean, one thing that was an important part of the pilot was obviously to test different price points. And the price point that we now landed on and that we will go broad with starting off on Monday, it was not the same across all offices. Obviously, it was for 1 or 2 offices in that range, but we test the different price points. So that's one difference. Also, I mean, what we allowed was that as part of the -- as part of the pilot, we also allow them to take old listings. Now when we go live, we will have a grace period of 30 days. And so that's the initial hypothesis when we rolled this out. So there are some differences. And that's why we don't want you to just take the number of 1 by 1, but this should give you a good indication. We're very happy with the results.
Nikola Kalanoski: Yes. That's very good. And just a final one for me. And I believe there was a question before on the cost base, but this is more specifically with respect to the ChatGPT integration. Does this change in any way your cost structure? Or is there any meaningful costs associated with doing this integration?
Lisa Farrar: No, nothing there to add to our cost base today.
Nikola Kalanoski: Yes. Perfect. That's all for me.
Operator: The next question comes from Annabel Hames from Deutsche Bank.
Annabel Hames: Just 1 for me. And is there a cost with monitoring the Sell First, Pay Later to ensure that it's not being abused?
Anders Ornulf: No, no, it's not. We have many things in place, all from technical to agreements with the customers. So we sit very well on that front.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Jonas Gustafsson: So first of all, many thanks, everyone, for tuning in today for a bit of an extended session. And thanks, everyone, for joining the call. A lot of great questions that are, as always, truly appreciated from our side. So with that, that is all from us. Make sure to have a good day, and thank you.